Satoru Komiya: Good evening, everyone. My name is Komiya. I'm the Group CEO. I thank you so much for attending this meeting tonight despite your busy schedule. I also wanted to thank you for extending your understanding and support to Tokio Marine always. In starting this meeting, I would like to explain to you the financial results we are announcing today, as well as messages from the management. Please turn to Page 3 of the material. There are mainly three points, I would like to convey to you today. The first is on financial results of fiscal ‘22. Actual basis adjusted net income was JPY444 billion, which reflects some impacts on COVID loss and natural catastrophes. Excluding such one-off effects, normalized basis profit was JPY617.1 billion. Most recently, we said in February that full year normalized basis profit is expected to be JPY580 billion, but it came out to be JPY36.1 billion more than that. This is based on over penetration of integrated group management, which led to steady and continuous enhancement of underlying capabilities. The second point is our projections for fiscal 2023 for adjusted net income. Again, backed up by our enhanced capabilities is projected to be JPY670 billion. This remain 9% growth or normalized level of profit comparison year-over-year, excluding FX impact it will be 8% growth. Growth driver will be rate increase and expansion of underwriting leading to increase in underwriting profit. Also, based on interest rate hikes trend in the United States, we are expecting expansion of investment income. To answer these (ph), for the sales of business related equities, last year in fall, we said that sales amount should be JPY120 billion to JPY130 billion in fiscal ‘23. And by the next mid-term plan, we want to accelerate the pace of sales to be 1.5 times the current pace. This time, we decided to accelerate this plan and achieve JPY150 billion of equity sales starting from 2023. Specifically, we want to be selling a total of JPY600 billion in the next four years up to fiscal ‘26. Equity sales is one factor to push up profit projection. Third point is that there is no change to our commitment that expansion of shareholder return should be consistent with profit growth. This will continue to be our idea. DPS for fiscal 2022 will be JPY100, as we planned at the beginning of the year, which would make DPS growth to be 18%. As for DPS for ‘23, DPS should be JPY121 making DPS gross to be 21%. In this manner, we will continue to hike dividend consistent with profit growth. As for capital stock, while we continue to manage capital in a disciplined manner, recent ESR is at 124%, which we believe is on an ample level. As for share buybacks, our plan as of today is to allocate JPY100 full share buyback purpose, this year to be spent in a flexible manner. In fact, we have voted for this funding of JPY50 billion today after first step towards that. Now let me explain to you on each of these points in bit more detail, please turn to Page 4. So starting with top line. For top line results of fiscal ‘22, net premiums written increased by 15% year-over-year, and life premium increased on the right by 8%. We are seeing steady progress in all domestic, international, and life to business, an underlying trend of the business is sound (ph). Our projection for fiscal ‘23's net premiums written is a healthy 3% growth, based on rate hikes and expansion of underwriting. Life Insurance premium is expected to -- declined by 4% due to surrender and lapse of corporate owned life insurance, et cetera., but the underlying trend of the business is not bad. Next, I'd like to explain to you about the adjusted net income, please turn to Page 5. Fiscal ‘22 adjusted net income, on the right-hand side, as you can see is JPY444 billion, which was more than the projection by JPY44 billion. Looking into the breakdown at Tokio Marine and Nichido Fire business, one of effect such as natural catastrophes and COVID were less prominent than forecasted. On top of that, marine and auto, as well as life businesses incurred loss were less than forecasted, leading to some upside in annual adjusted net income. These are the fiscal ‘22 actual figures. If we exclude one-off effects on normalized basis, I'd like explain that more on next page, please turn to Page 6. Fiscal ‘22, actual adjusted income was JPY444 billion. Our adjusted net income on a normalized basis, which excludes COVID losses, Net Cats and capital gains and losses in North America was JPY617.1 billion. This was an increase of 22% compared to fiscal ‘21 normalized process basis, and you could say that our company's underlying capabilities are steadily increasing. Next, I'd like to explain the full year projections for fiscal year ’23, please turn to Page 7. I already explained that the projection for fiscal ‘23 adjusted net income is JPY670 billion, which is plus 9% year-over-year on a normalized basis and plus 8%, excluding FX impact. Looking at the breakdown, for Tokio Marine and Nichido Fire domestically, we are expecting an increase of 11% with increased hedging costs and the rise in the auto loss ratio, but also improvement in fire profitability and decrease in large losses together with the absence of the increase in foreign currency denominated loss reserves that were recognized in the previous fiscal year. In orange, the international business with drivers such as rate increases, expansion of underwriting, and an increase in income gains, capturing the rise in interest rates. We are expecting plus 6% growth or plus 5% growth excluding FX impact. In wrapping up my -- first, I'd like to say that for fiscal ‘22, as explained, the impacts from one-off were considerably high, because of these circumstances, as management, we feel that first of all, we are able to be global because of our local businesses, and we need to strengthen each of the individual businesses increasingly. And secondly, through our global risk diversification strategy and group innovative management, we need to enhance and upgrade the level of our management and businesses. We believe this is extremely important. We would like to continue to focus on several engaging in our business and we'll strive to realize DPS growth that is top in class globally as well as enhanced ROE in fiscal ‘23 and beyond. I'd like to manage the company with such strong determination, and I hope I can provide you with more details at next week's IR briefing. That is all from me. Thank you very much.
Taizou Ishiguro: Thank you very much, Ms. Komiya. Next regarding Capital Policy, et cetera., Mr. Okada will speak.
Kenji Okada: Hello. This is CFO, Okada speaking. I'd like to give an explanation on shareholder returns. Please turn to Page 8. To reiterate, the basis of shareholder returns at our company's dividends and to sustainably increase DPS in accordance with profit growth. With that, regarding DPS for fiscal ‘22, as Mr. Komiya explained earlier, fiscal ‘22 adjusted net income was affected by COVID losses and net cash. However, the five-year average of adjusted net income, which is the source for dividends had expanded to JPY400 billion and the trend is also favorable. Therefore, DPS will be maintained at a JPY100 a share as originally planned at the beginning of the year and DPS growth will therefore be plus 18%. Regarding fiscal ‘23 DPS, in light of the strong profit growth to JPY670 billion the dividend pool is expected to increase. Therefore, we will increase the payout ratio to 50% as we have committed two years ago in fall. This will translate into a DPS of JPY121 a share or 21% DPS growth. This will be the 12th consecutive dividend increase and going forward, we will strive to increase the moving average dividend pool, so as to realize high DPS growth. Next, for capital stock adjustments. There are no changes to our thinking. Current ESR is at a 124%, and we view this as ample. Therefore, we would like to first deploy capital in businesses and risk taking opportunities, which will contribute to enhance our ROE, and corporate value. However, if we do not come across such opportunities, we will conduct share buybacks as we don't have any intention of building up capital for no reasons. So this time around, our policy is to conduct JPY100 billion worth of share buyback throughout the year in a flexible manner. And as a first step, we have approved the execution of buying back JPY50 billion. Our company wants to steadily execute our management strategies in order to enhance EPS and ROE by reducing volatility, a response expectation from the capital market in turn. We would like to ask you for your ongoing support. This concludes my explanation. Thank you.
End of Q&A: